Operator: Welcome, and thank you for standing by. At this time, all participants are in a listen-only mode. Today's conference is being recorded. If you have any objections, you may disconnect at this time. Now I will turn the meeting over to Olympia McNerney, IBM's Global Head of Investor Relations. Olympia, you may begin.
Olympia McNerney: Thank you. I'd like to welcome you to International Business Machines Corporation's fourth quarter 2025 earnings presentation. I'm Olympia McNerney, and I'm here today with Arvind Krishna, IBM's Chairman, President, and Chief Executive Officer, and Jim Kavanaugh, IBM's Senior Vice President and Chief Financial Officer. We'll post today's prepared remarks with a replay of today's webcast on the IBM investor website within a couple of hours. The earnings presentation is already available. To provide additional information to our investors, our presentation includes certain non-GAAP measures. For example, all of our references to revenue and signings growth are at constant currency. We provided reconciliation charts for these and other non-GAAP financial measures at the end of our presentation, which is posted to our investor website. Finally, some comments made in this presentation may be considered forward-looking under the Private Securities Litigation Reform Act of 1995. These statements involve factors that could cause our actual results to differ materially. Additional information about these factors is included in the company's SEC filings. So with that, I'll turn the call over to Arvind.
Arvind Krishna: Thank you for joining us today. Let me start by reflecting on our strong performance in 2025 and the execution of our Investor Day model, then get into more detail on the quarter. We are excited about the progress we made in 2025, delivering 6% revenue growth, our highest level of revenue growth in many years, and $14.7 billion of free cash flow, our highest level of cash generation in over a decade. As we laid out at our Investor Day in February 2025, we are executing on our strategy to advance IBM as a software-led hybrid cloud and AI platform company. We entered 2025 intently focused on investing in innovation and productivity initiatives to accelerate our shift towards durable higher growth end markets in software, with expanding margins and strong free cash flow. Today's software represents approximately 45% of our business, up from about 25% in 2018. Software grew 9%, our highest annual growth rate in history, with three of our four software sub-segments delivering double-digit growth rates. Innovation value can also be seen in our IBM Z performance, up 48% this year, achieving the highest annual revenue for Z in about twenty years. I am proud of our achievements in 2025 as we exceeded all of our target metrics for revenue growth, profitability, and free cash flow that we laid out at our Investor Day. Our flywheel for growth is underpinned by client trust, flexible and open platforms, sustained innovation, deep domain expertise, and a broad ecosystem, and that's exactly what played out for the year. Let me now touch on the macro. We continue to operate in a dynamic environment but one where client demand remains resilient in the categories that matter most to IBM. Enterprises are prioritizing technology investments that drive productivity, resilience, and flexibility, particularly in hybrid cloud, AI, and mission-critical infrastructure. These technologies are no longer viewed as incremental tools but as platforms that fundamentally change how businesses scale, compete, and operate. As clients modernize core systems, redesign workflows, and seek to extract more value from growing volumes of data, expectations for integration, security, and performance continue to rise. These trends are structural, and they align closely with IBM's strategy and strengths. Now turning to our execution in the fourth quarter. Delivered total revenue growth of 9%, our highest level in over three years. Software growth accelerated to 11% in the fourth quarter, driven by the strength of our diversified portfolio. Both data and automation are gaining strong momentum with clients, growing 19% and 14%, respectively, in the quarter. As AI adoption accelerates, enterprise clients are increasingly focused on how to keep operations running smoothly in a more complex and hybrid environment fueled by a surge of new applications. Our end-to-end portfolio of leading automation and data solutions helps clients manage and optimize operations, automate infrastructure and workflows, build resiliency, secure and govern data, and drive cost efficiency. Consulting continued to grow, up 1%, reflecting increased demand for AI services as clients need help designing, deploying, and governing AI at scale. And Infrastructure delivered another robust quarter, growing 17%, driven by strength in Z17, which has been outpacing Z16 performance. A key contributor to this momentum is the innovation value we are delivering with Z17, processing 50% more AI inferencing operations per day than Z16 and bringing real-time inferencing capabilities inside IBM Z. The breadth of our AI offerings is another key differentiator. Combining an innovative technology stack with consulting at scale, and our client zero journey. Our cumulative Gen AI book of business now stands at over $12.5 billion, of which software is more than $2 billion and consulting is more than $10.5 billion, with both seeing their largest quarterly increase to date. As we look at the evolution of AI, our opportunity is to make it easy for clients to build AI that is specific to their data, their processes, and their competitive needs, including the effective use of smaller, more efficient models where they make sense. That is why IBM's approach spans consulting, Watson X, or AgenTeq platform, Orchestrate, and Red Hat AI. Our announced acquisition of Confluent is another pillar in this strategy, helping unify our hybrid cloud and automation solutions through a smart data platform. Confluent has the most capable technology to unlock the real-time value of data across applications, clouds, APIs, and as AI agents enter the enterprise, they will need access to that data in real-time. Confluent is a great way to deliver that in a controlled, secured, and governed manner. Our hybrid approach to models also enables clients to use the best option for each use case. IBM's Granite models, third-party models, or open models from Hugging Face, Meta, and Mistral. In addition to being a demand driver, AI is also a powerful productivity driver for IBM. Contributing to our strong financial performance. In 2023, we set out on a goal to achieve $2 billion of productivity savings exiting 2024. And today, we are well ahead of that, exiting 2025 with $4.5 billion of annual run rate savings. We have been accelerating our productivity initiatives to enable investment in innovation, and highly strategic acquisitions like HashiCorp and Confluent while continuing to deliver strong margin expansion and free cash flow growth. HashiCorp continues to accelerate within IBM, benefiting from our go-to-market distribution and joint product innovation. We see a similar opportunity with the announced acquisition of Confluent, leveraging IBM's global go-to-market reach to accelerate growth and disciplined G&A structure. Accelerating organic innovation is a core focus for IBM. Project Bob is IBM's next-generation AI-based software development system designed to transform developer productivity. Bob introduces intelligent orchestration between industry-leading frontier models such as Anthropic, Claude, and Mistral small language models, including IBM Granite and custom models, all optimized for cost and performance. We have more than 20,000 IBMers that are using Project Bob, reporting productivity gains averaging 45%, a powerful client zero use case. We are also advancing innovation through deep M&A product synergies. For example, we recently developed Hashi InfraGraph, a real-time graph of infrastructure and application configuration. By fusing InfraGraph's insights with IBM automation products like Concert, we unlock true root cause analysis and proactive prevention for clients. All this leads to real tangible value for our clients. Companies like Morgan Stanley and FedEx are leveraging our technology solutions and infusing our Gen AI products into core workflows, and Mastercard is leveraging our technology solutions, including data management platforms, software platforms, and GenAI products and solutions. In infrastructure, clients such as CVS are turning to Z17's AI capabilities for enhanced management of mainframe application workloads and increased resiliency. We also announced new or deepened strategic partnerships through the year, with AMD, Anthropic, AWS, Microsoft, OpenAI, and Oracle. Recently, we announced a partnership between Red Hat and NVIDIA that aligns our hybrid AI solutions and NVIDIA's AI stack. This collaboration allows enterprises to deploy AI-accelerated applications across any environment, from the data center to the public cloud, using a unified automated infrastructure. It represents a significant step forward in making high-performance AI more accessible and scalable for the hybrid enterprise. Innovation, combined with our strategic partnerships across consulting, with key hyperscaler and ISV relationships, and software with key data providers, drive a multiplier effect that fuels our flywheel for growth. We continue to make steady progress in quantum computing. Over the past quarter, we advanced our development roadmap, improved error correction capabilities, and expanded ecosystem partnerships. Our collaboration with organizations such as Cisco, participation in government initiatives like the U.S. Department of Energy's Genesis Mission, and DARPA's quantum benchmarking initiative reflect growing confidence in IBM's approach to building scalable, fault-tolerant quantum systems. Quantum Advantage will require high-performing hardware. And in December, we deployed our first 120-qubit IBM Quantum Nighthawk-based system for use by our clients. Back in 2024, we predicted that we'd see Quantum Advantage by 2026, and with the help of IBM hardware, software, and rapid cycles of learning, our partners in the scientific computing community are starting to make the first credible advantage claims. We remain on track to deliver the first large-scale fault-tolerant quantum computer by 2029. To conclude, we finished the year with strong execution and continued progress against our strategy. IBM has long been known for innovation. What matters most is how that innovation is used to help clients operate better, grow faster, and compete more effectively. We made a clear set of strategic choices over the last several years to help our clients do exactly that, and it is playing out in our results today and going forward. We enter 2026 with momentum and confidence in our ability to sustain 5% plus revenue growth and grow free cash flow by about $1 billion. With that, let me hand it over to Jim to go through the financials.
Jim Kavanaugh: Thanks, Arvind. As we enter 2025, we provided guidance of accelerating five-plus percent revenue growth, greater than a half a point of operating pretax margin expansion, double-digit adjusted EBITDA growth, and about $13.5 billion of free cash flow. We exited 2025 beating all of these metrics. Delivering 6% revenue growth, a 100 basis points of operating pretax margin expansion, 17% adjusted EBITDA growth, and $14.7 billion of free cash flow, growing 16% over last year. This represents our highest free cash flow margin in reported history. And we delivered 12% growth in operating diluted earnings per share. This performance reflects strong execution of our flywheel for growth. Through client trust, leadership in hybrid cloud and GenAI, accelerating innovation, deep domain expertise, and an ecosystem multiplier effect. In 2025, we were intently focused on strengthening and accelerating our software portfolio. Delivering innovation value with our next-generation mainframe launch, expanding our early leadership in Gen AI and Quantum, and executing M&A growth synergies across IBM. All of our segments accelerated in 2025. With these drivers playing out and demonstrating momentum across our diversified business. For the full year, software grew 9%, our highest annual growth rate in history. With three of our four sub-segments delivering double-digit growth rates. Infrastructure was up 10%, reflecting a record Z17 launch. Achieving the highest annual revenue for IBM Z in about twenty years. And outpacing Z16 over the first three quarters of the program. And consulting inflected back to growth in the second half, driven by GenAI momentum, with our GenAI book of business in consulting, at more than $10.5 billion inception to date. Let me now dive deeper into our fourth-quarter performance. Software revenue growth accelerated to 11%. On top of last year's growth of 11.5%, which was the highest in fifteen years. Growth was driven by the strength of our recurring revenue base, our shift to higher growth end markets, innovation including our early leadership in GenAI, M&A growth synergies, and monetization of our strong IBM Z placement with an inflection in transaction processing. Our ARR was strong at $23.6 billion, up over $2 billion from 2024. This quarter's performance was broad-based. Across our synergistic portfolio, with organic growth accelerating to over 7%. Data grew 19%, fueled by the demand for our Gen AI products and strong performance with established strategic partners. Who enable customers to power our AI innovation and mission-critical workloads. These market dynamics underscore the synergy opportunity we see with Confluent. Automation grew 14%, including another record bookings quarter for HashiCorp. Red Hat decelerated to 8%, driven partially by the wrap on last year's elevated consumption-based services that we called out last quarter. And also from the in-quarter yield on single-digit bookings growth driven by delays in US federal business deal activity related to the government shutdown. While a longer growth arc virtualization continues to gain momentum including over $500 million of contracts signed over the last two years. OpenShift is now a $1.9 billion ARR business, growing more than 30%. And as we expected last quarter, given the record Z17 placement this year, transaction processing inflected back to growth of 4%. Consulting revenue grew 1% in the fourth quarter. With intelligent operations up 3% and strategy and technology remaining stable. Performance was driven by steady demand across key offerings. Business application transformation, application migration and modernization, application operations, and cybersecurity. As clients prioritize cost efficiency, while continuing to invest in AI-enabled transformation. As Arvind noted, clients are moving beyond experimentation and need support designing, deploying, and governing AI at scale. Our consulting generative AI book of business surpassed $2 billion in the quarter. Our largest quarter of GenAI. Reflecting continued momentum. We are also expanding our impact through client zero, applying our generative AI experience in driving productivity and efficiency to help clients operationalize AI at scale. This practical experience combined with our domain expertise is resonating with clients. While overall signings were down as we wrapped on record fourth-quarter signings last year, the mix continued to improve. With a greater share of strategic wins from both new clients and expanded engagements within existing ones. Infrastructure revenue grew 17% this quarter. With hybrid infrastructure up 24% and infrastructure support down 2%. Within hybrid infrastructure, IBM Z had another outstanding quarter delivering its highest fourth-quarter revenue in more than two decades. Up 61% year to year, reflecting the enduring value of the platform and the success of our latest Z17 program. Clients are investing in Z17, for its differentiated capabilities, real-time AI inferencing, quantum-safe security, and AI-driven operational efficiency. Which are critical as enterprises modernize mission-critical workloads and scale for data-intensive environments. IBM Z continues to be the backbone of enterprise IT. Enabling clients to integrate seamlessly with hybrid cloud by unlocking new levels of resiliency, scalability, and performance. Distributed infrastructure revenue was flat with product cycle dynamics impacting storage offset by growth in power supported by solid adoption of our newly launched solutions. Now turning to profitability. In 2025, we delivered our highest operating gross profit margin in reported history. And highest operating pretax margin in a decade. Demonstrating the evolution of our portfolio mix and our laser focus on productivity. For the full year, productivity mix, and revenue scale drove expansion of operating gross profit margin by 170 basis points. Adjusted EBITDA margin by 230 basis points, and operating pretax margin by 100 basis points. And we achieved this despite absorbing more than $300 million of dilution from HashiCorp. Given the announcement of our intent to acquire Confluent, we accelerated productivity initiatives in the fourth quarter. To help mitigate 2026 dilution. Similar to our playbook on HashiCorp. Excluding resulting workforce rebalancing charges, we took in the fourth quarter, operating pretax margin expanded by 140 basis points for the full year. Segment profit margins expanded by 100 basis points in software, 180 basis points in consulting, with consulting margins at the highest level in three years. And 450 basis points in infrastructure. For the full year, we generated $14.7 billion of free cash flow, up $2 billion year over year. Resulting in the highest free cash flow margin in reported history. The primary driver of this growth is adjusted EBITDA. Up $2.8 billion year over year. Partially offset by increased investments in CapEx, higher cash taxes, and higher net interest expense as we expected coming into 2025. Let me talk about our free cash flow evolution in a little more detail. Our repositioning to a software-led business in addition to our cost discipline and productivity initiatives, drive significant operating leverage in our financial model. Since 2022, we have consistently delivered double-digit growth in free cash flow. Well in excess of revenue growth. Demonstrating this business model evolution. Our flywheel for growth and disciplined execution of productivity initiatives lead to sustainable, and high-quality free cash flow generation. This durable cash flow engine enables us to invest in our business to accelerate growth. This includes increased organic innovation with R&D up about $2.5 billion since 2019. And it allows us to pursue highly strategic M&A transactions like Apptio, Software AG, HashiCorp, DataStax, and Confluent that drive M&A synergies across IBM. Our diversified and integrated business drives a platform multiplier effect that uniquely allows us to deliver M&A synergies. This includes synergies from our global go-to-market distribution scale, platform synergies that amplify value, with IBM's complementary offerings, and operational synergies through our G&A discipline. Most recently, this can be seen with HashiCorp, delivering adjusted EBITDA accretion ahead of expectations within the first full year in IBM. Our financial flexibility fuels innovation, and our disciplined capital allocation policy. Including our commitment to return capital to shareholders. We exited 2025 with a strong liquidity position and a solid investment-grade balance sheet. With cash of $14.5 billion. We invested $8.3 billion in acquisitions and returned $6.3 billion to shareholders in the form of dividends. Our debt balance ending the year was $61.3 billion. Including $15.1 billion of debt for a financing business. With the receivables portfolio that is almost 80% investment grade. Now let me discuss our expectations for 2026. Our strong performance in 2025 reflects the strength of our diversified portfolio and a multiyear execution of our strategic repositioning. Consistent with our Investor Day model, we expect to sustain constant currency revenue growth of 5% plus in 2026. And free cash flow to be up about $1 billion year over year. Growing high single digits. Our revenue expectations are underpinned by our durable and accelerating software business. Which we expect to grow 10% this year. This acceleration is led by organic growth. Driven by the strength of our recurring revenue base, our shift to higher growth end markets, GenAI traction, M&A growth synergies, and monetization of our record Z placement with an inflection in transaction processing. A tremendous source of profitability and free cash flow for IBM. And we continue to expect Confluent will close by 2026. In consulting, our backlog levels and momentum in GenAI with backlog penetration over 25% support an acceleration in revenue growth to low to mid-single digits for the year. The powerful combination of our integrated platforms services as a software model, and client zero experience allow us to deliver differentiated value to clients. We enter 2026 three quarters into the Z17. We expect infrastructure revenue to be down low single digits. About a half a point impact to IBM. With Z growth in the first quarter balanced by product cycle dynamics throughout the rest of the year. The strength of our Z placement fuels our flywheel for growth. With its attractive three to four x stack multiplier across IBM. Let me now touch on our GenAI book of business before I turn to profit. We have been reporting our cumulative Gen AI book of business since 2023. When it was in the low hundreds of millions of dollars. We exited 2025 with the Gen AI book of business greater than $12.5 billion. Demonstrating strong momentum in consulting and software. This will be the last quarter in which we report this metric separately. AI is now embedded across our business. From how we deliver services to our software portfolio to the capabilities we're adding to our infrastructure platforms, and how we drive our own productivity. As a result, a standalone Gen AI metric no longer reflects the full scope of how AI is driving value across IBM. For the full year, we expect IBM's operating pretax margin to expand by about a point. Our software portfolio mix and ongoing productivity initiatives continue to drive margin expansion and mitigate Z product cycles. And the impact of dilution from acquisitions. Our operating tax rate for the year should be in the mid-teens. And the timing of discrete items can cause the rate to vary within the year. Let me give a little bit more color on Confluent dilution dynamics. We anticipate absorbing about $600 million of dilution from Confluent in 2026. Driven largely by stock-based compensation and interest expense. We expect Confluent will be accretive to adjusted EBITDA within the first full year and to free cash flow in year two. Post close. We have multiple levers that underpin our confidence in these accretion targets. Including revenue synergies, operational spend synergies, and ongoing productivity savings. Revenue synergies include both the ability to accelerate revenue leveraging our go-to-market distribution platform, as well as drive product synergies, which play out over time. We expect to realize about $500 million of operational spend run rate synergies by 2027. We continue to accelerate our productivity initiatives and now expect an incremental $1 billion of productivity savings this year. Driving $5.5 billion of annual run rate savings by 2026. Taking this all into account, we are confident in our ability to expand operating pretax margin by about a point in 2026. For free cash flow, we expect to grow about $1 billion in 2026. In line with our Investor Day model of high single-digit growth. Given the strong fundamentals of our business, adjusted EBITDA growth will be the primary driver of our free cash flow. Offset by similar factors as last year. Including cash tax headwinds, higher CapEx, and higher net interest expense. Looking to the first quarter, we expect our constant currency revenue growth rate to be similar to the full year. And for operating pretax margin, we expect about 100 basis points of expansion. With workforce rebalancing fairly consistent with the prior year. Our first-quarter operating tax rate should be in the mid-teens. We are excited about our prospects in 2026. Our growth accelerators portfolio mix, integrated value, and continued investment in innovation are driving sustainable revenue growth and strong free cash flow. As we shift toward a software-led business, and speed our pace of innovation, our growth flywheel continues to strengthen. We enter 2026 with solid momentum across our business, and remain focused on disciplined execution with unwavering focus on productivity. Enabling investing for the future and delivering value for our shareholders. Arvind and I are now happy to take your questions. Olympia, let's get started.
Olympia McNerney: Thank you, Jim. Before we begin Q&A, I'd like to mention a couple of items. First, supplemental information is provided at the end of the presentation. And then second, as always, I'd ask you to refrain from asking multipart questions. Operator, let's please open it up for questions.
Operator: Thank you. And at this time, we'll begin the question and answer session of the conference. On your telephone keypad. You may press 2. Our first question comes from Brent Thill with Jefferies. Please go ahead.
Brent Thill: Arvind, good to see the comment around software growth accelerating to double-digit growth this year. I was just curious if you could maybe dig in the components and why you're excited for that organic-led initiative and then anything else that's important to note this year on the software portfolio that we maybe we haven't seen in '25? Thanks.
Arvind Krishna: Give you a bit of a perspective on the dynamics of the different parts of the software business. And then for quantification, I'll turn it over to Jim. So first, we are incredibly pleased with how we got to the end of the year on software. We are pleased with the organic growth in software, and we are pleased with the inorganic contribution. If I sort of peel it first from the subsegments, automation, I think, is on a secular demand increase. The reason for that is as people have more and more infrastructure, they put more and more AI, they put more and more compute. They need that software to help them manage all of it. And we're seeing that play through in the demand for HashiCorp, which helps you deploy hardware and software with the demand for Apptio, which helps you manage the costs and gives you a perspective of what is happening. As well as all of the pieces around how do you integrate applications, how do you integrate data, and all of those components. So I think that expecting well into double-digit growth for that part is appropriate, and we see that in our early demand signals. If I look at data, data benefits both from our data products that we provide, the organic innovation we have done with Watson X, both the AI pieces and the Orchestrate piece for agents, and we expect that that demand keeps pulling through and going forward as people are deploying AI enterprise productivity, and inside the enterprise. Then we also have a lot of partnerships in the data space that we see strong demand for and that we expect are going to continue. Mainframe, given the very strong cycle we had, somewhere between low to mid-single-digit growth, is reasonable and we have seen that dynamic play through but it kinda follows the hardware placement by a few quarters. So all that hardware as people consume it, is gonna cause that to grow. And then we get to Red Hat. First, we are very pleased with their doubling almost more than doubling of the Red Hat business since we acquired it. It was early $3 billion, $3.2 billion when we made the acquisition, finishing the year at seven and a half on a run rate just extrapolating from the fourth quarter towards $8 billion. We see strong demand in many of the pieces there. Including on Red Hat Linux, that probably in the mid-single digits more than in the high to double. Which is in line with server growth. You're still taking share. And the piece there that continues to be very, very attractive to growth is OpenShift. Which is almost at $2 billion and running at a 30% growth rate and we expect that to continue both for containers for hybrid applications, and virtualization. So if you put all of that together, then that gives me confidence on the growth that Jim laid out. About 10% for the year. This all assumes a midyear closing for Confluent which is sort of baked into our expectations right now. Now of course, we're gonna strive to do even better. I think that this is a prudent set of numbers to put out.
Jim Kavanaugh: Yeah. The only thing I would add just to wrap it up and I'll say it on behalf of Arvind, given how humble he is. When you look at 2025 and our software execution, I think what you see, one, is the strength of our portfolio, and the diversification of that portfolio. And that's a reflection of a multiyear strategic repositioning of the IBM company to a software-led platform-centric company. We finished '25 with one of the highest growths we've ever had in software overall, but it's pervasive with three of our four software categories growing double digits. You dial back only about three years ago, we only had one growth factor. And that was Red Hat. That is the foundation of our hybrid cloud and AI strategy. The work we've done around repositioning the portfolio, a disciplined capital allocation to build out an automation portfolio, a data portfolio, and always capitalizing on that high-profit margin transaction processing portfolio has just been phenomenal, and it's leading to a sustainable durable, growth engine that gives us that conviction of double-digit growth here in 2026. But when you cut to the underpinnings it reflects that diversity ARR roughly $24 billion growing high single digits. Gen AI, over $2 billion book of business, up two x in the fourth quarter, and that M&A growth synergies, you're just seeing the beginnings of that play out. With Hashi with another record quarter overall. So we are excited about the opportunity ahead. And we feel confident about software now at double digits, not approaching double digits.
Olympia McNerney: Great. Operator, let's take the next question.
Operator: Your next question comes from Amit Daryanani with Evercore ISI. Please state your question.
Amit Daryanani: Good afternoon, everyone, and congrats on some nice numbers here. I just want to focus on free cash flow a bit. If I go back to the start of the year in '25, you know, you folks talked about $13.5 billion free cash flow guide. Said it ended up being $14.7 billion, I think, when it's all said and done. And I think revenue growth helped you somewhat, but it was really good free cash flow margin conversion. So I'd love to know from your perspective, what drove the strength of better performance in free cash flow in '25 where I really wanna go with this is I wanna understand the $15.7 billion free cash flow guide for this year, which is impressive. But it implies high single-digit free cash flow growth versus the 16% that you saw last year. So just help me appreciate. Was it something unique that you saw in '25? That led to the 16%, and any puts and takes around the $15.07 number for this year?
Jim Kavanaugh: Thanks, Amit. I appreciate the question. As we've been talking about for five years, six years now going on as Arvind's taken over this company, we've got two key measures that we drive this company on. Revenue growth and free cash flow generation. And by the way, they're synergistically aligned because it provides that flywheel of investment flexibility. But you're exactly right. We entered the year, and I remember a year ago sitting in this chair, I got asked the question, I think it was either you or Ben about are we you know, my words, are we sandbagging free cash flow? And at that time, we said $13.5 billion, and the underpinnings behind that was double-digit growth and adjusted EBITDA and that we would have partially mitigating that some headwinds on or I would talk about tailwinds, higher cash tax because we got a higher profit profile, higher CapEx, because we're gonna invest in this business for long-term future growth. And we were gonna have higher net interest and acquisition-related charges. Now you fast forward a year later, we posted $14.7 billion. By the way, up $2 billion, up 16%. Highest free cash flow we've seen in well over a decade. Highest free cash flow margin on record of a hundred and fourteen-year history of our great company. And the underpinnings behind that cash flow were entirely driven by the fundamentals of our business, the acceleration we saw in our revenue growth throughout the year, and the strong operating leverage we continue to get out of this business. So where we started with adjusted EBITDA, at double-digit growth, we finished at 17%. That's an incremental $1 billion of adjusted EBITDA from where we were a year ago. And by the way, that's a flywheel engine. Revenue acceleration operating leverage, and driving an efficient balance sheet where we're very proud about a solid investment-grade balance sheet. Generates significant substantial free cash flow. So now you fast forward to this year. We enter 2026 with a lot of momentum, confidence. By the way, I should have said over the last three years, we've grown free cash flow five and a half billion dollars. So that growth factor, what's been happening. But you look at 2026, our investor model's high single digit. We got a lot of work to do in 2026. We said we'd guide confidently up a billion dollars at $15.7 billion. That's on a high single-digit growth. It's early in the year. High single-digit growth of adjusted EBITDA. And we are sitting here with a tremendous amount of leverage and opportunity just like we were a year ago. And our goal is to continue driving the durable sustainable performance of this company as we move forward. Why do we feel excited? One, we have a focused portfolio. Disciplined capital allocation, diversification of our business model, and a relentless focus on profitability. That drives the durability of free cash flow engine in this company that gives us the financial flexibility to continue to invest for long-term sustainable advantage. So we feel confident about that fifteen seven, and our job is to beat it this year.
Olympia McNerney: Operator, let's take the next question.
Operator: Our next question comes from Ben Reitzes with Melius Research. Please state your question.
Ben Reitzes: Yes. Hey, guys. Thanks a lot. At the risk of getting in trouble with Olympia here, on Amit's question, I was surprised you didn't say there's a multi $100 million hit due to Confluent. In the cash flow guide, which, you know, without it, it would be higher. But my real question is with regard to Red Hat. And I wanted to just clarify, I appreciate the double-digit guidance for software. I wanted to see what how we're going to bridge Red Hat, what how do we get the eight to the mid-teens or is mid-teens no longer the growth rate there? Obviously, everything else was great. And better than our model. But I'd like to just focus laser focus on Red Hat and how we bridge it to within your forecast and towards the prior goals. Thanks.
Jim Kavanaugh: Yes. Thanks, Ben. And I didn't say the dilution effect because to be honest with you, dilution's part of our model. Our investors expect us to be disciplined capital allocators think we've earned the credibility about that, and we have to take that into account. That's why we drive portfolio mix. We drive revenue scale. We drive productivity, which by the way, I also didn't say we exited last year 4 and a half billion dollars over the last two years. And we see that going up by another billion dollars this year. So we got a lot of levers. In this business, and we understand that dilution. But you know what? The strategic value of Confluent and the synergistic value of what it does to our portfolio, we definitely could take into account that dilution. So I know you were trying to help on 15 seven's higher. Yes. It is. But all in, which is how we operate and report, we gotta deliver or beat that number. So but let's get back to software. You know? And we talked a lot about the first question. We entered 26 with confidence around the momentum, the diversification of our portfolio, about the strategic repositioning, about the flywheel of growth, and we expect now double-digit growth. Underneath that, one, that's gonna deliver four and a over four and a half points to IBM's growth in '20 above our model. And as Arvind said, an acceleration organic growth. Organic will be north of seven points this year and acquisitions about three points. How are we gonna do that? We're gonna do that one. We have to acknowledge we're operating in an attractive TAM. With a market backdrop for tech that we think is pretty exciting. And Arvind has been on that point about opt opportunistic. Two, we continue the thing I think is underappreciated in our disciplined capital allocator, we continue to shift this portfolio mix to higher growth end markets with companies that we buy, which we always say category leaders in structurally growing markets, that we can provide unique value, integrate and deliver differentiated synergies to accelerate growth. That is shifting our underlying portfolio that's also advancing our organic growth profile. Annuity strength, $24 billion exiting the year, growing high single digits, eight plus percent. New innovation, GenAI, Gen AI in the fourth quarter up two x, and we see that continuing. As we move forward. M&A growth synergies kicking in off of a record Hashi year, and Arvind talked about TP cycle monetization. By the way, one point on TP that I think is underappreciated. We talk about it very similar to Z16 cycle. Z sixteen first year of that cycle, TP was flat. We finished this year flat. One big difference. That flat on Z16 was off a down nine. The flat this year in 2025 was off a plus 10. So you could see the compounding effect of what's happening to TP, and we see that inflecting the growth. So underpinning and Arvind gave you some of the math. One, data, high teens, contributing about four points to that software growth, well above model. That's gonna be driven by new innovation, Gen AI capability, platform economics, Two, hybrid cloud. We think that's double digit. Back to where I started my first answer, Three, four years ago, we only had one growth factor. Now we got three growth factors that are growing double digit. Underpinning that, we got a subscription revenue under contract that's growing mid-teens. That's not at model. We only delivered single-digit ACV bookings in the fourth quarter because as we stated in prepared remarks, we were disrupted by the down of the federal government. We gotta get through that. We're monitoring it. And I would say the word choices were being prudent. On Red Hat's guidance right now. Because we only need that at double digit to get software over the line of double digit. Upside, will deliver upside to software overall. Automation, great portfolio, low double digit, two and a half point contribution to software. On or better than the model. And that's leveraging M&A growth synergies off Hashi's success. And then TP, we're pretty much back to model. Low single, mid-single-digit growth, capitalizing on that economic multiplier. So it gives you a little of the underpinnings behind why we're confident in that 10 plus percent growth of software.
Olympia McNerney: Take the next question.
Operator: Your next question comes from Wamsi Mohan with Bank America. Please state your question.
Wamsi Mohan: Yes, thank you so much. Just a follow-up, a clarification quickly on the last couple of questions around hybrid cloud growth. Are you anticipating any potential pressure on the server refresh cycle from higher memory pricing? And could that sort of have any, adverse effect on the Red Hat Enterprise Linux side of things. And my question really is, Jim, on the cadence of PTI improvement, clearly, you're driving a lot of productivity improvement and being able to absorb entirely the dilution from Confluent and then some. So how should we think about the cadence of the progress of that? Given that Confluent is to hit midyear, but you've already taken some productivity actions here and 4Q of last year. So should we be seeing more outsized DTI improvements in maybe the second quarter? I think you already said where it is in the first quarter, but like in the second quarter, is that the right way to think about it? Thank you so much.
Arvind Krishna: Okay. So Wamsi, let me take the first part of that question and I'll ask Jim to address the second part of your question. Look, the server dynamics are volatile. And you're right. If I remember correctly, spot memory DRAM prices are six times that of last year. A big reason for that for those who are interested, is because a lot of the capacity is moving over to HBM. Or high bandwidth memory, which is required for AI servers. And if I remember correctly, it takes about four maybe eight times the capacity of DRAM to do HBM. Pricing and the demand for HBM is driving all the vendors into that. I personally believe as long as that dynamic is there, those pricing issues are going to be there through the year. Now the demand side. There is no AI server without a bunch of CPUs right next to it. So the reality becomes that the AI demand also drives demand for normal servers that in turn feed and load up those servers. So I don't expect that the overall server dynamic on which there may be a little bit of an issue, is actually gonna be any headwind to us on the hybrid cloud or the Linux side. And the reason for that is that there is enough growth going on. There is also a market share movement towards Red Hat as opposed to alternate answers in the marketplace. So that mix overall I think keeps us growing well. I also believe that both Red Hat AI and OpenShift AI will feed into the demand from the AI servers which was gonna help that demand. So let's acknowledge is gonna be memory pressure, and that probably lasts at least a couple of years. But as look at that, it also gives opportunity AI portions of the portfolio to get a lot of tailwinds. So with that, I'll give it to Jim for, I think, another free cash flow question.
Jim Kavanaugh: Yeah. The skew of profitability, Wamsi, I think was your question. So thanks very much. And I appreciate that. Just given we do still expect Confluent to close by midyear this year. Obviously, very excited about the strategic capabilities that's gonna add, but I think I was very transparent in the prepared remarks about the level of dilution etcetera. But let me bring it up a level first. Around how do we run this company and how do we drive the operating leverage that's been going up well above our model over the last three to four years. Portfolio we drive this through portfolio mix, That's why software being the underpinning of IBM's leverage around 45% of IBM's revenue, but about two-thirds of our profit. Also, high-value recurring revenue, our ARR book of business, high marginal profit dollars. So portfolio mix being one lever, productivity, every dollar we invest in this company around go-to-market around R&D, around innovation, and around our consulting services, we look and we drive a very maniacal ROI concept around that profile just as you would expect us to as an investor like an inorganic M&A acquisition. And three, we drive to bring this company the most productive company in the world and getting G&A scale leverage overall. Fundamentally, you manage those three separate buckets differently. When you look at 2026, we set about a point growth in margin. Gonna get about a half a point out of revenue scale just given the leverage of the acceleration of revenue. We will lose a half a point on portfolio mix because we are gonna wrap on an unprecedented launch momentum on mainframe. Which carries higher prior profit and higher mix. The remaining full point basically is gonna be driven out of productivity. And our model, as you know quite well, we've been driving north of 300 points per year of productivity, and we've been reinvesting about 200 basis points of that. That's why you've seen over the last handful of years, our R&D up double-digit growth year over year. And we've taken over the last what, five years, we've taken $2.5 billion of R&D up overall. But when you look at 2026, productivity is gonna drive the day, We feel confident. We took up our productivity target to $5.5 billion. We will get revenue scale leverage on G&A. Which will mitigate dilution and mitigate product cycles overall. To your last question, we think the skew of that profitability is gonna follow our normal historical attainment. First quarter, will be pretty much on historical attainment. By the way, you do the math, that's double-digit profit growth, double-digit EPS growth. So pretty consistent building off the momentum in the fourth quarter.
Olympia McNerney: Operator, next question, please.
Operator: Thank you. And your next question comes from Jim Schneider with Goldman Sachs. Please state your question.
Jim Schneider: Good afternoon. Thanks for taking my question. I just wonder if you could maybe outline the path or trajectory you're expecting for the consulting business throughout the year? Signings were a little bit weaker in this quarter, but you noted the strong backlog in AI that you're seeing. So maybe talk about how you expect that to convert into revenue over the course of the year and whether you see any kind of further improvement in discretionary or short cycle spending and projects, as you head throughout 2026? Thank you.
Jim Kavanaugh: Great, Jim. It's good to hear from you, and I appreciate the question. First of all, we're encouraged by the inflection shift that we see in consulting exiting '25. We returned the business back to durable sustainable growth in the second half, a little bit over 1%. But more importantly, and I think underappreciated, we got a lot of headroom to go, and the team is working diligently around improving the fundamentals of this business. And our operating pretax margins were up by almost 200 basis points in 2025. When you look at the market, the market definitely remains dynamic as we talked about earlier. We continue to see opportunity for growth as clients accelerate their investments in AI-driven transformation to unlock operational efficiency, to unlock business model innovation, and now unlock growth. I think it's a very different mindset and client buying behavior than we saw eighteen months ago when it was pure disruption and discretionary spend that's moving out. So as we look at '26, that's what gives us the confidence that we guided low single to mid-single which we think is gonna be pretty much where the market is at overall. And we still believe we've got continued headroom on operating margins. We guide about another point and a half improvement year over year. Both of them are gonna be accretive in contribution to IBM overall. How's that gonna happen? One, I would put it in a handful of buckets. One, backlog realization. In what we see. Two, our Gen AI momentum and the rate and pacing growth and acceleration we're seeing three strategic partnership headroom that we still have, four our portfolio composition we've been talking about is aligned to much more growth end markets, higher growth end markets, you know, where our portfolio is less around pure BPO, it's more around digital transformation, modernization, AI, around data transformation, cybersecurity, governance, And then five, you know, Mohammad and team, we've been doing a ton of work around reshaping our model to an asset-based services as software model. Our industry-leading IBM consulting advantage. So let me talk about just a couple of them to give you some math and statistics on why we feel confident. One backlog, $32 billion up 2% overall. But underpinning record low erosion duration that has continued to come down. And our realization to your question we see a realization out of that backlog that fully supports that low to mid-single-digit growth. And we see it pretty much modestly growing throughout the year. So low single-digit first quarter, and then growing throughout the year. Two, we added over 400 new clients this year. And that has improved our net new business contribution as we've been talking about by eight points which is having a higher revenue realization by four points year over year. So backlog composition and the acceleration is one aspect. Gen AI is the second. Gen AI now represents over a third of our bookings, over 25% of our backlog right now, $32 billion backlog, and over 15% of our revenue on an exit run rate. We have a $3.6 billion ARR Gen AI revenue run rate. In consulting, and we see that continue and accelerate. And then finally, the repositioning. We see more headroom on margin leverage about a point and a half as we go forward, and that's through productivity portfolio mix, But we have to manage we are operating in a very aggressive pricing environment. We'll continue monitoring that.
Olympia McNerney: Operator, next question.
Operator: Thank you. And your next question comes from Eric Woodring with Morgan Stanley. Please state your question.
Eric Woodring: Awesome. Thank you guys for squeezing me in here. Arvind, a really strong infrastructure year, obviously outstanding performance in Z. I think there's an argument to be made, and I hear from you that, you know, with the Telum two processor, given the amount of data and transactions on the mainframe, you know, the mainframe can be an AI workhorse. You had really strong outperformance relative to your historical model in Z. You're guiding to a bit of infrastructure decline in 2026. And so I'm just trying to understand was there just some kind of different buying trends in '25 and perhaps a bit of pull forward that was different than maybe past Z launches? Or could you just be a bit conservative as you look out into 2026? I know you cycle dynamics, but could you see some more sustainability in video, in the infrastructure business in the Z cycle that maybe isn't fully accounted for in the infrastructure guidance that you gave? Thanks so much.
Arvind Krishna: Yeah. Eric, as Jim actually in the answers to a few questions, We want to give guidance and we want to be where we have incredibly high confidence that we can hit or beat those numbers. So let me just caution that all guidance we give with that in mind. Let me just actually go back to a few of the dynamics that are driving even stronger adoption of the mainframe. Let's point out. Z17 has been the strongest start three quarters in. Before that, Z16 the strongest in about twenty years. Before that, Z15 was better than 14, 13, and 12. So we have been on this continuing improvement. Let me point to, I think, at least three secular factors under it. Number one, there is a lot more demand for people to have we can use the word sovereignty. Or we could use the word on-premise control which goes along with the economics of the mainframe platform. I think more and more clients have woken up to that for certain workloads, the mainframe is actually the lowest unit cost economics platform, and that is really important. Number two, the ding often is but it's a very hard platform for our developers to use. And for our operators to leverage. The Gen AI tools we have provided with the Watson Code Assistant for Z really takes that bonus away. It can refactor COBOL into Java. It can help people understand code that is already running on the platform. It can help you refactor that code if you want to keep it exactly as it is. It can help you take things out so that headwind of people saying this is a hard platform to modernize has gone away. That then comes to your AI capabilities. You're right. I'm incredibly excited by our ability AI right in line. If you can do it right in line with the transactions, that's a milliseconds delay. Opposed to multiple seconds if you take it off-platform. Which is how people have been doing it so far. That capability, while we introduced it in 2025, really came to market only in 2025. So I do expect and we look forward to helping our clients install that. And a very large number of our clients actually told us they're interested and they kept space in the machines to put in those cards. We call them the spire cards or you can think of it as the Gen AI card. Gives you all that capability. As those cards go in, then the software stack to support that goes in. But we also have to give help to our clients to let the models run on the platform and to get their use cases up and going. Expect that will take some months to happen, but that provide tailwinds against some of the dynamics that both Jim and I have explained.
Olympia McNerney: Great. Operator, let's take one last question.
Operator: Thank you. And this question comes from Matt Swanson with RBC. Please state your question.
Matt Swanson: Great. Thank you. Arvind, if I could maybe take a more holistic view of part of your answer you just said. So I mean, as you were talking about, there's been a lot more conversations right now about where enterprise GenAI workload should reside. It really feels like that conversation is the intersection of your dual pillars of AI and hybrid cloud, when looking at, you know, the strength of the refresh cycle, as you mentioned, but also the strength in demand for the data, segment, the automation segment. Conversations and consulting. What do you think combining all these things says about the current state of enterprise transformation for GenAI maybe today and know, heading into '26?
Arvind Krishna: Matt, thanks. Thank you for that question because it is one, as you can imagine, that we both think about a lot. And then play out the various scenarios. So let's look at GenAI so far. Gen AI so far has largely been a consumer topic. People use chatbots, people use it to improve their emails. People are using it to improve document writing. Half the videos, if I believe the statistic I read, are now generated with the help of AI, I'm not saying only AI, but with the help of AI. All of that tends to be AI. That is running on a hyperscaler public cloud somewhere. And that people go leverage. As we look forward now to the enterprise, I am convinced this is an and world. I'm not saying that the hyper scale or public model usage is going to decline. But the enterprise is gonna get concerned with how much of not the data. I don't think people are gonna steal data, though that has happened a few times. But I do think that there is gonna be a lot of concern around the nature of what are the models learning from answering these questions do we really want to share that with everybody else? Or not? There is gonna be issues around sovereignty on the users of these models. And there is gonna be questions around just basic privacy. Hey. This is not data that we wanna take anywhere else. So I take that into I believe if I look out three to five years, 50% of the enterprise usage of AI going to be in either a private cloud or is going to be in their own data centers. And the other 50% is gonna be usage of public models. Now there's also an efficiency question. So if what's being used on-premise is smaller models, then actually, it could be that 80 to 90% of all the inferencing is really in a private slash on-premise. And 10% of the inferencing is on a public 10% could be at five to 10 times the price hence the dollar sort of even out. We see this playing out really importantly over the next three to five years. And that is why we've been positioning very strongly. We use the word sovereign, sovereignty for how people want to manage their technology. We announced a sovereign core offering last week help get this done. But we do believe that this is gonna play out. The mainframe is an important element. But not the only element in that story. So it's an and. Matt. Sorry. Really long answer. But this is what is gonna play out over the next three to five years. So thank you all for all of these questions. As you can see, we have been excited about our year and the changes we have made to our business over the last few years and our performance in 2025 reinforce our confidence on the next chapter of our growth. We look forward to continuing this dialogue through the year.
Olympia McNerney: Thank you, Arvind. Operator, let me turn it back to you to close out the call.
Operator: Thank you for participating on today's call. The conference has now ended. You may disconnect at this time.